Operator: Good morning and welcome to the MGM Resorts International Fourth Quarter and Full-Year 2016 Earnings Conference Call. Joining the call from the company today are Jim Murren, Chairman and Chief Executive Officer; Dan D'Arrigo, Executive Vice President and Chief Financial Officer; Bill Hornbuckle, President; Corey Sanders, Chief Operating Officer; and Grant Bowie, CEO and Executive Director of MGM China Holdings Limited. Participants are in a listen-only mode. After the company's remarks, there will be a question-and-answer session. Please also note that today's conference is being recorded. At this time, I'd like to turn the conference over to Mr. Dan D'Arrigo.
Daniel J. D'Arrigo - MGM Resorts International: Well, thank you, Jamie, and good morning, and welcome to the MGM Resorts fourth quarter and full-year 2016 earnings call. This call is being broadcast live on the Internet at www.mgmresorts.com, and we have furnished our press release on Form 8-K to the SEC this morning. On this call, we will make forward-looking statements under the Safe Harbor provisions of the federal securities laws. Actual results may differ materially from those contemplated in these forward-looking statements. Additional information concerning factors that could cause actual results to materially differ from these forward-looking statements is contained in today's press release and in our periodic filings with the SEC. During the call, we'll also discuss non-GAAP financial measures in talking about our performance. You can find the reconciliation to GAAP financial measures in the press release, which is also available on our website. Please note that our supplemental earnings deck is posted on our website which we hope you will continue to find helpful. Finally note, this presentation is being recorded. And with that, I'll turn it over to Mr. Jim Murren.
James Joseph Murren - MGM Resorts International: Well, thank you, Dan. And good morning, everyone. I'd like to start by saying that we had a tremendous year in 2016. Our domestic resorts on a same-store basis grew its revenues and cash flows by 4% and 17% respectively, and that's the best performance since 2007. And with the addition of Borgata National Harbor our revenues and EBITDA increased 9% and 22% respectively. The CityCenter campus had a really tremendous year and Aria produced record EBITDA and EBITDA margins as well. Here at Bellagio, we had record revenues, RevPAR, EBITDA and margins, in other words the most profitable resort in Las Vegas in 2016. The regional properties continued to lead their market, MGM Grand Detroit and Gold Strike had record cash flows for the year. And MGM China continued to outpace its fair market share in Macau, which is of course impressive given the significant capacity increase that has entered into that marketplace. I want to pause for a moment in looking at the – where our stock is and clear up a little bit of confusion, and also apologize for that. I think, we should have been more clear in our third quarter call. We did discuss that the fourth quarter would be challenging as a result of the timing of the Jewish holidays. And between the holiday shift and the timing of a big group, literally one big group, the impact in the quarter, the fourth quarter was about $19 million, almost $20 million of EBITDA. If you look at the second half of last year, because we obviously benefited from that in the third quarter, as a whole, we had a great second half. Cash flow was up 19% in the second half last year, RevPAR was up 6.8%, and our margins were up 320 basis points with a 29.3% margin. And for the employees on the phone too, I'm sorry, for that confusion, we could have done a better job explaining that and also telling you what great job you have done. And on that great job, I want to talk about the profit growth plan. It was a great success last year. We closed the year 15% ahead of our original 2016 target. We've now delivered over $340 million of incremental cash flow since we began the plan. We've improved our domestic same-store margins by 340 basis points year-over-year, and that is – means from just over 26% to 30% EBITDA margins in just one year. As of year-end, we implemented most of the ideas that were part of that original plan and we have – we're run rating now at our $400 million target. We expect to actualize that target, $400 million, in incremental cash flow benefit in the first half of this year, which is also ahead of our original target of year-end 2017. And this is because we've transformed the culture at MGM Resorts and we've kick started this endeavor really ushering a new era here, new way of life on how we operate our business, which we believe lays the ground work for continuous improvement and continuous margin growth for the long-term, which is why the Board was confident yesterday to announce and declare our dividend. We've come to that point that we've been hoping for, that we've been able to reduce our leverage dramatically, throw off free cash flow and it's time to return much of that free cash flow to our owners. The Board and the management team spent a lot of time on this, we've looked at our options in terms of returning capital to shareholders and received a lot of advice, some solicited and some unsolicited from our owners, bankers, et cetera. And after that deliberation, we decided that a quarterly dividend was the best path forward at this point. It shows our commitment to a balanced approach to allocate capital, grow our company long-term, and return value to the shareholders. And that is going to be the guiding principle for evermore. Returning capital, disciplined investments, on the path to investment grade, and growing the company prudently and accretively. And I think it also underscores the Board's conviction that we're off to a good start in 2017 and we have very clear path for continued free cash flow acceleration in the years to come. On the fourth quarter, it must be noted that we had a very strong fourth quarter 2015 and we're able still to drive growth in net revenues, RevPAR and EBITDA. And as we did mention in the quarter, last year's call, we did have that tough comparison, as a result of the holiday shift. But even with the shift we're able to continue to drive off a strong convention base. And we actually had the second best fourth quarter convention mix in the company's history, only the year before was better. And we're able to replace some convention business by leveraging our database, which is significant and that increased our contribution from our casino and our leisure mix. We did see higher spend across those segments, casino and leisure, and that offset this calendar shift that I was referring to, to some degree. For the year, we had a record convention mix at 19% and that's over the year before convention mix at 18.5%. That's gratifying. It's gratifying to show and to then celebrate the hard work of the yield management team, and the properties that achieved that 6% RevPAR growth that we had predicted at the beginning of last year, which of course is substantially above the national average for any other company in lodging or gaming. And we're looking for strategies all the time that will benefit us even further in the years to come. Building up our brands, maintaining our vantages, not only here in our home market, but around the United States and we see that we can continue to move the needle here and elsewhere through our entertainment, our branding, our marketing, and our repositioning the properties, and a good example of that is moving Monte Carlo into Park MGM or the two major entertainment venues that we opened last year that we'll have the full benefit of in 2017. It wasn't long ago with that, we were hoping for a new arena, we have it now, it's generating tremendous foot traffic and we're going to get the full on benefit of that in 2017 and beyond. It's really kind of remarkable to think of, when you think of our arenas last year, for example, the MGM Grand Garden Mandalay event center and T-Mobile, they all ranked within the top five arenas in the United States in their categories. T-Mobile itself pretty impressive, it's only been open for three quarters and it's already one of the top in the nation. And of course adding to the entertainment on December 17, we added the 5,300 seat Park Theater and we've been selling out shows almost ever since with a variety of A-list entertainers, that is going to have a big impact on Monte Carlo in the neighborhood, as Monte Carlo becomes Park MGM and NoMad. On the East Coast, significant development and accomplishment, really a milestone for the company was to open MGM National Harbor on December 8, and that really has exceeded, I think, everyone including our own expectations in terms of the type of resort, the type of product and the immediate superiority of revenue and market share in that marketplace. We're averaging over 22,000 people a day visiting National Harbor. We've signed up over 150,000 new M life members in this short period of time and thousands – thousands new members every week. We're very happy about how the property is performing, and we're just literally turning on some of the marketing spigots as we've been working out the pre-opening and post-opening kinks to the property. And I think, it's safe to say that National Harbor is already outperforming. It's already growing the market and it is going to be what we all hope it would be in terms of one of the most profitable resorts in commercial gaming outside of Las Vegas. I am more confident than ever of that point. We also, of course, had our first full quarter at Borgata, which is remarkable. It gained share in Atlantic City. It had a tremendous quarter. It produced record slot win and over $220 million of EBITDA for the year. It's off to a great start this year with – in its 14 years of operation, it had its best January slot win in its history, this last month. We've also been working with the State in Atlantic City to be part of the solution to that city's recovery and as part of that solution, we have settled with the State and agreed to a property tax refund of the amount $72 million. We split that with Boyd. We think that's right. We agreed, Boyd and MGM, that this is the right statement to make for Atlantic City, it provides cash to the owners of both companies and it provides clarity and closure to a long outstanding item. We think there are many other opportunities to grow Borgata into the future. We're literally not even yet launching M life into that property; that's happening in a couple months. And we've been plugging in many of our PGP initiatives there. Over in Macau, MGM China continues not only to maintain share, but to grow it, and we've seen great stability in our mass business and that's supported by the premium mass, and you can see that in the key performance measures like player counts and theo. And I can't say enough about Grant and his team, and how well they've outperformed that market and how strongly they've remained focused on maximizing margins and cash flows, and of course, Grant will be online to answer any of your questions. Now on the development front there, we announced few weeks ago that we've pushed back the opening of MGM Cotai into the back half of this year. That is still an accurate and good statement. The reason why we did so, is we're working with our developer, our contractor, construction folks, and the government to get to very precise timeline, and our whole team is over with Grant in about a week-and-a-half at a Board meeting, we'll have a lot more to report once we get through all that. But remember, we're dealing with the construction of a building that is extremely intricate, complex, beautiful, as you can see from the investor deck and very innovative. And we think it's going to be very additive to the market, and as we said earlier, we're not rushing the opening, we want to make sure that we make a very good impression when we do open, and it will be as I said in the second half, and we'll have more clarity soon. Final couple thoughts before I turn it over to Q&A. One is obviously we had a big aggressive agenda last year. We set a lot of goals for ourselves, articulated them all to you in individual presentations during our Investor Day and otherwise at conferences and frankly we exceeded them all. We've highlighted the value of our real estate, presented another platform for growth, created MGP which has been clearly very successful, proved out the MGP story through the acquisition of Borgata, we're able to negotiate that transaction that made it accretive to both MGP and MGM. We opened really important enduring long-term assets like National Harbor and T-Mobile and Park Theater. We created an organization internally here that lives far beyond the profit growth plan, there is now built in muscle memory on operational excellence that gives us confidence for continued margin and profit growth including in the current quarter and throughout this year and beyond. We talked about this a bit on the Investor Day and we've added to that ever since in terms of the intellectual capital that makes us the most efficient, most professionally run organization in our industry. We have profoundly strengthened our balance sheet. I don't know how many ratings upgrades we've had in the last few years. And we do believe that we're on the cusp of becoming an investment grade company. We see it now, it's well within our reach. And we're throwing off free cash flow right now. Free cash flow to a level that we feel that we can reward our shareholders for their confidence in us, and that obviously speaks to the institution of the quarterly dividend, which we expect will grow over time. Now, I'd like to thank the 77,000 men and women of MGM, because obviously we couldn't have done all of this without you. We're very optimistic about the future. Our book of business here in 2017 continues to look great. We expect to increase our convention business to new records this year, that's due not only to a dedicated focus of providing a really good experience for our convention guests, the value proposition that we and Las Vegas provides, and the best sales team in the business. We had a good CES throng in town last month. We have CON/AGG just around the corner next month in March. And as we said this morning, we believe, we'll be able to grow RevPAR by approximately 7% in the first quarter, hard to find a hotel company that comes remotely close to us. And keep in mind that 7% forecast is on top of 8% growth we delivered in the first quarter last year. We're still confident that we'll be able to grow our RevPAR throughout the year and to prove out that point, we just booked a huge multi-year piece of business with Microsoft, which starts this year and that business is very new to us and most importantly it's new to Las Vegas, as we're able to pry a huge piece of business out of another destination. And we're continuing to find ways to drive more large groups to Las Vegas, both in terms of the association groups, individual major companies like Microsoft to the benefit of the destination and to MGM. We believe, we'll continue to outperform the lodging market this year, expect our RevPAR growth to be up all year, probably around 4% or 5% which is like 2x or 3x the U.S. average. And we expect that – because of that, our margins will continue to grow, I think, they will grow in the current quarter and in 2017. The fundamentals right now are very solid going into this year. We have that convention base that I referred to, we have over 90% of the business already on the books and we're going to have a record year in 2017. We will continue to and have managed our expenses and therefore we believe revenue per occupied room will increase throughout the year, which as I said earlier will lead to we believe higher margins and higher profitability and accelerating free cash flow to the benefit of all of our shareholders. And with that, I think we're all set, Dan?
Daniel J. D'Arrigo - MGM Resorts International: Yeah.
James Joseph Murren - MGM Resorts International: And we can turn it over to Q&A.
Operator: And ladies and gentlemen, at this time we'll begin the question-and-answer session. Our first question today comes from Joe Greff from JPMorgan. Please go ahead with your question.
Joseph R. Greff - JPMorgan Securities LLC: Good morning, guys.
James Joseph Murren - MGM Resorts International: Hi, Joe.
Joseph R. Greff - JPMorgan Securities LLC: Jim, you touched on a bunch of things that obviously investors are focused and we are focused on today, including margin and flow through performance particularly on the Las Vegas strip, can you talk about, maybe it would be hopeful sort of maybe getting expectations in the right place at the present time. Can you talk about how you're thinking about the Las Vegas strip in terms of flow through in terms of margin improvement? And then maybe touching on the Las Vegas strip as well, can you talk about what you're anticipating, how much group will be up in 2017 versus 2016 in both volumes, room nights, as well as pricing?
James Joseph Murren - MGM Resorts International: I'll start and then maybe I'll turn it over to Corey or to Dan, Joe. Yes. We are – there's a lot of operating leverage in our business and it obviously benefited us in the first three quarters last year, particularly in the third quarter and it came back and hurt us in the fourth quarter. And that's what I was referring to, we just have to be more specific with our investment community on what the operating leverage is going both ways. Here, for example, in the first quarter, I mentioned, we had a good CES, and obviously, the city is going to benefit CON/AGG in March. So the operating leverage swings back to our benefit. If we're able to grow RevPAR this year let's say 4% or 5% that means we're able to grow on a hold adjusted basis, because we are a gaming company too. But hold adjusted basis, we're able to grow revenues in the low to mid-single digits that should be fair for us, to be able to say. If that is the case, the flow through will be – will be meaningful, because our expenses are not going to grow to that level. And if we look at the base of where we're starting from for this year, our margin last year, EBITDA was what 30% Cathy, Cathy?
Cathy Santoro - MGM Resorts International: Yes.
James Joseph Murren - MGM Resorts International: 30%. We'd expect margin growth. I'm anticipating margin growth in 2017. Now, it's not likely going to be 300 basis points, 400 basis points growth like we had from 2015 to 2016, but it should be a nice improvement in margin consistent with, in fact, we're ahead of the plan that we laid out to investors during our Investor Day. So flow through we believe is going to be achieved in the current quarter, on a same-store basis. And remember also we have other properties that will be – we'll have for the year. But I think, if your question is specific to the Las Vegas strip, where we did confuse people and fall short of a published consensus. If we focus in on that, which I think, is really the crust of the uncertainty today, we expect our margins on Las Vegas strip to be up this year versus last, we expect RevPAR to be up, we expect flow through therefore to be up and we expect to be able to grow on a same-store basis here in our existing properties' profits in 2017. Is that right, Corey?
Corey I. Sanders - MGM Resorts International: That's correct.
Joseph R. Greff - JPMorgan Securities LLC: And just on the flow through, before the days of PGP we thought flow though would be 50% in that – off of that low to mid single-digit net revenue growth rate, assuming table hold is normalized. Is that the right way to think about it post-PGP or is it a little bit better than that old 50% metric that you guys talked about?
Daniel J. D'Arrigo - MGM Resorts International: John, for us the focus is on margins as Jim pointed out, is really to kind of zero-in on the overall margin, because the flow through depending on where that incremental dollar is coming from and what source, it is going to shift and really our goal here is to take this 30% margin and kind of drive it to the next level, which is 31% and hopefully over the next two years, we're in that 31% to 32% margin. So, really that's the focus that we continue to keep the management team focused on and driving a goal here as an organization.
Joseph R. Greff - JPMorgan Securities LLC: All right. And I'm sorry if I'm kind of being dense or being obnoxious here, but if we assume low to mid single-digit net revenue growth on the strip, and you get to 31% margins this year that implies something like 50% flow through, is that a fair expectation to have?
Daniel J. D'Arrigo - MGM Resorts International: I think that's fair, Joe.
James Joseph Murren - MGM Resorts International: Yeah, it is.
Daniel J. D'Arrigo - MGM Resorts International: It's the way the math just works, right.
James Joseph Murren - MGM Resorts International: So, to answer your question, Joe, yes. We're trying to get away, so you can see Dan talking about is trying to get away from flow through every quarter, but the math works that way exactly, yes.
Joseph R. Greff - JPMorgan Securities LLC: Okay. And then that my prior group convention question.
Corey I. Sanders - MGM Resorts International: Yeah. Joe, on the convention side as Jim mentioned we're going to have a – we're expecting to have a record year again in 2017. We are to that point where we're maximizing that space pretty high right now. So we'll even – we'll be up 2017 to 2016 about 3%, but in general now it's more about the quality of what we're putting in the space and the total spend of that group including catering and banquet and less about how much are we ahead because we have such a solid base.
Daniel J. D'Arrigo - MGM Resorts International: And I think from a mix standpoint, Joe, it's probably similar to what you saw from 2015 to 2016 and we're moving that from 18.5% to kind of 19%, and the goal would be to get into that low to mid 19% of convention mix in 2017.
Joseph R. Greff - JPMorgan Securities LLC: Got it. And then my one final question. You referenced on July 26, the strong RevPAR growth of 11% in Q3 of last year. Obviously it's a difficult growth comparison when you put it in there to highlight that, how do you think about the cadence of RevPAR growth by quarter, at least directionally.
James Joseph Murren - MGM Resorts International: Chris Nordling, do you have it?
Christopher W. Nordling - MGM Resorts International: Yeah. I think as you look at it, Joe, obviously we gave 7% RevPAR guidance for Q1 and as Jim mentioned in his opening remarks, we think for the full year it's in that 4% to 5% range for the full year. That obviously would imply roughly on average kind of call it 3% to 4% growth per quarter at least and that will depend on the tougher comps like you said in the third quarter, but it's the way the math will run kind of in that 3% to 4% range per quarter.
Joseph R. Greff - JPMorgan Securities LLC: Okay. Thank you.
Operator: Our next question comes from Harry Curtis from Nomura Instinet. Please go ahead with your question.
Harry C. Curtis - Nomura Instinet: Hey, good morning. Just as a quick follow-up, not necessarily focusing on flow through, but because that could be defined differently. But in 2015 and 2016, you had wholly owned RevPAR, call it 6% to 6.5% in Las Vegas, and your actual change in EBITDA – the uplift in EBITDA was quite averaged 15%. And so, if you – if the RevPAR growth is closer or the revenue growth is closer to 3% to 4% in 2016 – in 2017, is it reasonable to think that your EBITDA growth could be in the neighborhood of, call it 6%, 7%?
Daniel J. D'Arrigo - MGM Resorts International: Harry, this is Dan. That seems fair, overall, obviously the last – the back half of 2015 and all of 2016 benefited from PGP, which is an important factor in driving a lot of that EBITDA growth as well. But I think that – I think, your analysis is pretty fair.
Harry C. Curtis - Nomura Instinet: Okay. And then Dan, while I've got you, do you have to pay down more debt to get to investment grade this year?
Daniel J. D'Arrigo - MGM Resorts International: I think when you look at it – I think our – with our cash flows continuing to grow, that's obviously in the calculation, the biggest driver. I think from an overall debt perspective, goal is to continue to reduce debt with free cash flow. But I think, we can continue to drive down leverage, as we bring National Harbor on, as we get the free cash flow – free cash flow from Borgata this year, continue to grow our same-store cash flows. I think, that in of itself will be the biggest driver of decreasing the leverage.
Harry C. Curtis - Nomura Instinet: Right. But I mean, in your budget do you – do you have your budget paying – in your budget paying – and you are actually using cash to pay down debt this year?
Daniel J. D'Arrigo - MGM Resorts International: Here in the U.S., yes, debt gets reduced through in the U.S. obviously, China is still – from a consolidated standpoint, China is still finishing up Cotai. So if you look at – if you look at the U.S. debt, that would come down.
Harry C. Curtis - Nomura Instinet: Okay. And one last question for Grant, because he – it's 11:30 there and we don't want them to go to sleep. How do you perform in such a competitive environment, as Macau, as you open up this sparkling new building? Give us your thoughts on, without tipping your hat about how you're going to fill it up?
Grant R. Bowie - MGM China Holdings Limited: Thanks, Harry. Actually it's 12:38.
Harry C. Curtis - Nomura Instinet: My estimates are always wrong.
Grant R. Bowie - MGM China Holdings Limited: You said it. I think, the critical point is, and you know – you and I've had conversations about this. We've been working for some time, as long as we've been building – building out our capabilities to drive acquisition. I think, it's very clear that, that it's not feasible to simply grow off the backs of taking share from others. And that's where we're building a plan of many components leading up to the Cotai, but more importantly driving forward after Cotai. We are very specific in certain targeted markets, where we think we can be stronger. We're also very specific in terms of certain channels that we believe that we can create opportunity for ourselves. And the biggest challenge of all with dealing with China, and the diversity and the non-gaming activities is that – it's not about marketing to China, it's about targeting certain population centers, consumer and centers which have certain consumer characteristics. And so that's really where we're focusing ourselves on and then it all comes together because you got to have an attractive component of product within the facility that we think would be attractive and not just be considered as a me-too, and those are the issues that we're really focusing our attention on to provide that attraction and appeal. And last of all, the great strength is we're going to be moving nearly 40% of the team we have from this property into Cotai, because what's really important is that we can have equal levels of commitments to the MGM's service excellence. So, in fact, when we're recruiting, we're probably recruiting as many people back into this property, so that that can release talent that we have to make sure that we can maintain the commitment, because at the end of the day, we really don't care which MGM they go to, as long as it's MGM, and as long as we can increase that share of wallet of our existing customers, and then obviously attract and retain those new customers we're looking for. So I hope that helps.
Harry C. Curtis - Nomura Instinet: Yeah, it does. Thanks guys.
James Joseph Murren - MGM Resorts International: Thanks, Harry.
Operator: Our next question comes from Shaun Kelley from Bank of America. Please go ahead with your question.
Shaun Clisby Kelley - Bank of America Merrill Lynch: Hey, good morning, everyone. So just to maybe kind of talk about the targets and the outlook for 2017 again. As we – if we go back to the Analyst Day, you guys gave some pretty explicit growth numbers and targets that were, I guess, I don't think they were guidance, but they were potentially achievable. And I think that number sort of kind of built up to about $3.1 billion of EBITDA in 2017. So my question is, could you help us just think through what are some of the puts and takes to get to that $3.1 billion for this coming year? And is that number still in play as you guys kind of think about your business today?
Daniel J. D'Arrigo - MGM Resorts International: Hey, Shaun, this is Dan. Overall, we still feel pretty confident about the pace that we're on. I think, the one – the one thing that needs to be kind of factored into that analysis is obviously with the announcement that Cotai is shifting to and moving to later this year in the back half. That assumed a kind of second quarter opening of Cotai. So I think that's a key component as you think through that Investor Day model that would need to be adjusted for this year.
Shaun Clisby Kelley - Bank of America Merrill Lynch: But to make you say or to say it out loud then not a ton else, if we think about both cadence and total dollars of PGP, and flow through and revenue outlook not a lot else has changed, if you think about the organic components there?
Daniel J. D'Arrigo - MGM Resorts International: Yeah, to me that's the major one that comes to mind and everything else is pretty minor in terms of the puts and takes.
James Joseph Murren - MGM Resorts International: Yeah.
Shaun Clisby Kelley - Bank of America Merrill Lynch: Okay.
James Joseph Murren - MGM Resorts International: And Shaun, I'll just add to that, it's Jim. Yes, the answer is yes. It's that we're frustrated with ourselves about the articulation of the quarter, the fourth quarter because we had a very strong year. Exactly the kind of the year, in fact, better year than we expected when we had in fact that Investor Day last summer. So, we are on track on all the operating metrics that we had worked on for several weeks leading up to that Investor Day. We're on track to achieve our goals right now, in the current quarter in 2017 and beyond.
Shaun Clisby Kelley - Bank of America Merrill Lynch: Okay. Great. I appreciate that. And then, the other piece is, and then another piece f that build up that's pretty big for the year then is National Harbor, and obviously we've been able to look – to dig through both revenues and now a little bit on profits. But, could you just help us think about a little bit more about sort of learnings and ramp up at the property, what are you seeing sequentially so far? And specifically, what's kind of – what are your thoughts on the cost structure there and margin structure as we move through – as we move through 2017 and the property stabilizes?
James Joseph Murren - MGM Resorts International: Well, the margins are on track to what we had expected. We expected low-20%s in terms of EBITDAR, remember we're renting land there, EBITDAR margins. I think that's what we had in the fourth quarter as well, right. And so, low-20%s, normalizing to the mid-20%s, as we continue to stabilize the labor that is always the issue that impacts margins early on. The revenue numbers have been really wonderful both on the gaming and non-gaming side. And, as I said earlier, we're only scratching the surface in terms of loyalty marketing, casino marketing. It's been a remarkable success from a customer perspective, and the margins are improving. So, we are very pleased. And in fact, we're capacity constrained, particularly on the weekends, particularly on Saturday night. So we have some tweaks on the profit margin side, and the expense side that we're drilling through, but I can't say enough about how happy we are with the opening, with the customer feedback, with the revenue, with the current margin levels, and our projection for increased margins.
Shaun Clisby Kelley - Bank of America Merrill Lynch: Great. And maybe just one final one on that one, is it the spread of sort of what we're seeing between gaming, which we obviously get from data, and then non-gaming, which we're able to look a little bit more at today? Is that pretty accurate and reflective of what we should see going forward in terms of what we're seeing over the business, or any material changes you'd expect as we see that progress?
Daniel J. D'Arrigo - MGM Resorts International: I think gaming is going to actually go up. I think, as Jim mentioned, we're just coming turning on our marketing engines. We're really – the table games numbers have been substantially exceeding the market, the slot numbers are also exceeding, but we think there's opportunities there to go up. The food and beverage numbers are really solid right now. So what I would envision is probably more gaming revenue as a percentage.
Shaun Clisby Kelley - Bank of America Merrill Lynch: Okay.
Daniel J. D'Arrigo - MGM Resorts International: Yeah. We've got something to bring online, longer-term, more retail outlets, some more things, but we feel pretty good about directionally where we're headed.
Shaun Clisby Kelley - Bank of America Merrill Lynch: Thanks, everyone. Really appreciate it.
Operator: Our next question comes from Stephen Grambling from Goldman Sachs. Please, go ahead with your question.
Stephen Grambling - Goldman Sachs & Co.: Hey, good morning.
James Joseph Murren - MGM Resorts International: Good morning, Stephen.
Stephen Grambling - Goldman Sachs & Co.: Two quick follow-ups to some of the earlier questions. First on capital allocation with the dividend announcement. What's kind of the right leverage ratio for the consolidated company and how would you think about dividend growth versus buyback longer term?
James Joseph Murren - MGM Resorts International: You want to do leverage first?
Daniel J. D'Arrigo - MGM Resorts International: Sure. Hi, Stephen, this is Dan D'Arrigo. So on the leverage front, I think pro forma for National Harbor and Borgata, leverage at the end of the year is roughly around 4.4 times. So I think the goal is to continue to get that into a range of 3% to 4% – 3 times to 4 times, I'm sorry, and continue to get that number down. So, we've made a lot of progress, but we're not where we want to be just yet, and I would say the ultimate goal is to be at this steady run rate over the next couple of years in that 3 times to 3.5 times.
James Joseph Murren - MGM Resorts International: In terms of cap. Thank you, Dan. In terms of capital allocation and returning value to shareholders, we did spend about two years on this hoping that we'd have the day that we're having now, which is discussing returning capital to shareholders. And so we looked at share repurchases, and special dividends, and quarterly dividends, and then within the context of quarterly dividends, we did a very deep dive into what the precedent transactions were for companies that are initiating a quarterly dividend. And the average yield coming out of the box for companies that are initiating the quarterly dividend is 1.3%. And we looked at that, we looked at what the lodging peers were doing and we looked at our free cash flow. And that's how we settled on the $0.11 in the first quarter and the yield out of the box that we're referring to. I think we also heard from our shareholders and we believe at the Board that you want to be able to have an opportunity to grow that dividend over time. And, we believe given our forecasts internally on free cash flow, we'll be able to do that. On top of that. I think, it's important to note that CityCenter, our 50% joint venture, that didn't get a lot of press today even though it had a record year last year, is sitting on a ton of cash right now. We have dividend cash back to the owners, Infinity World and MGM before, we'll likely do it again. And so, is also the case, once we open up MGM Cotai, the opportunity of future expanded dividends at MGM China. The expectation at this time is, if these events occur, which we expect that they will, we'll be able to move that cash back to the MGM Resorts owners, the owners of those assets in the form of increased dividends, increased quarterly dividends. And, at some point in time, we may view other options in terms of returning value to shareholders. But, at this time, what we believe after the analysis that we did, given what we believe to be rapidly accelerating free cash over the next several years, we'll be able to achieve our ratings objectives, our leverage objectives that Dan referenced, while still growing our business, improving our business, increasing our margins and profits, and increasing the amount of capital that we can return to our shareholders in the form of quarterly dividends.
Stephen Grambling - Goldman Sachs & Co.: That's helpful color. And Jim, you'd also mentioned, wanting to avoid any hick-ups on a quarterly basis just from a guidance perspective. I'm sorry if some of this is in the slides, which we're having a little bit of technical issues on our end, but beside from the tailwinds in the first quarter, what are some of the puts and takes to think about as the year progresses? Thanks.
James Joseph Murren - MGM Resorts International: Yeah. We got into that a little bit, we – in the slide deck, but maybe we can get into it a little bit more here. Do you want to do it, Dan, or Cathy?
Daniel J. D'Arrigo - MGM Resorts International: Sure, yeah I think, Stephen as you get to the slide deck, I think as we talked about earlier, the – later in the year, third quarter is probably our toughest RevPAR comp in 2017 versus 2016. That was up about 11% in 2016 over 2015. The – we'll have the contribution from Borgata all year and National Harbor as well, as that continues to ramp up. There is the calendar shifts to be mindful of through the course of the year as well, and one of the other items that's a little bit unusual, but to just point out is, this is the year that our golden ticket in, ticket out patent runs out. And so, we'll have some impact over at the MGM Grand who owned that patent for years. They'll have some impact by about $10 million or $11 million in cash flow this year from the royalties going away with that patent expiring. So, I think, those are kind of the key 2017 issues.
James Joseph Murren - MGM Resorts International: One less day because of leap year.
Daniel J. D'Arrigo - MGM Resorts International: Yeah. And...
James Joseph Murren - MGM Resorts International: Yeah.
Daniel J. D'Arrigo - MGM Resorts International: And February has a one less day in the – and the way the calendar actually works benefited the entire hospitality network in 2016 just the way leap year and the calendar fell, it actually increased RevPAR here in the U.S. overall just based on that unique calendar from 2016.
Stephen Grambling - Goldman Sachs & Co.: That's helpful. And, one last one if I could just on the convention business, you mention the need to optimize the spend of your attendees as you're closing on capacity. Was there anything unusual from the spend this year that you saw from the convention business on a per head basis from those visitors, or is there anything unusual as we think about next year in terms of the types of folks coming and their amount of spend? Thanks.
James Joseph Murren - MGM Resorts International: Well, the spend is increasing, as with Chuck Bowling, who I'm sure is listening in. Hi, Chuck. He had a $100 million of catering revenue last year at Mandalay Bay, a $100 million of catering revenue just at Mandalay Bay. It's an all-time record. And so, it's a matter of – and, that's profitable revenue by the way, folks. It's a matter of the convention mix, which we talked about will have a record, and the cadence of conventions, particularly going into what were historically non-traditional convention months, which we don't have a non-traditional convention month any more. Every month is a convention month now in Las Vegas. That should – that is helping our revenue per occupied room, which is why I mentioned that we expect that will be the case throughout 2017. It's partly due to that. And, thinking about the first quarter here, think about CON/AGG, I mentioned that the first quarter of 2016, we had RevPAR up 8%, we just guided you to 7% for the first quarter of 2017, so in other words 15% over that two-year period of time. That's the best we've ever had over two-year period of time, 2010 and the 2011, the stack growth was 8%, 2013 and 2014, the stack growth was a little less than 15% above 2015. So, this is going to be – this two-year period of time is going to be best we've had in terms of RevPAR. And in terms of margins, Corey, on the expense side, maybe you had something you wanted to say in that?
Corey I. Sanders - MGM Resorts International: Yeah. It's interesting, as we look at every quarter, we constantly are looking at all of our expenses, including our payroll. And in particular, even in the fourth quarter when it felt a little tough, absolutely when we look at it compared to an expense per occupied room we're only up like 0.004%. And we're actually down over a two-year period over 1.6%, we're down over 1,100 FTEs from last year alone. So, we're constantly managing that expense, we're constantly watching it, and that with the additional revenue will only mean that flow through will continue to come through.
Stephen Grambling - Goldman Sachs & Co.: Great. Thanks. Best of luck this year.
James Joseph Murren - MGM Resorts International: Thanks.
Daniel J. D'Arrigo - MGM Resorts International: Thanks.
Operator: Our next question comes from Kenneth Fong from Credit Suisse. Please go ahead with your question.
Kenneth Fong - Credit Suisse (Hong Kong) Ltd.: Hi, guys. Thanks for taking my question. I have the question on the Macau side. In fourth quarter, MGM China seems to have lost some mass market share in fourth quarter. So, just want to see is there any reason behind it? And also, before your Cotai, new project open, any strategy how you can defend your market share ahead of the new project? And what do you see in 2017, so far, especially on your mass market trend? Thank you.
James Joseph Murren - MGM Resorts International: All right. Thanks, Kenneth. Well, on the mass market, it's pretty fair to say that we're in that construction period. As you know, we've just opened the dining areas, which was launched by our new restaurants. So, that they have some disruption because of we had a restaurant that was a fairly important restaurant out. So, we had – we did have some head count loss, but the bigger issue really was we didn't hold as well. So, I wouldn't say that our volume share was down, but we didn't – we just didn't hold as well. And I can assure you that having opened those restaurants back up we've seen that business – that business fought back. So, that's been looking pretty good. In terms of Chinese New Year, I think, what we're now seeing in Macau is that we normally used to see that after the third day, fourth day, that the business would come – come – strengthen up. It really didn't come back this year until about the sixth day and even up until yesterday on mass market, in particular has continued to be strong right through that. So, I think we are hearing from a number operators that it might have been a little slower to come on. The city was very, very busy with head count, a lot of day trippers, and I just think that that probably is shifting some of the dining patterns pushing it further out, and I think that's actually better for us because I think the customers come in and they seem to be staying a lot longer. And sorry, Kenneth, what was the last question you put to me, the last part?
Kenneth Fong - Credit Suisse (Hong Kong) Ltd.: Just before your new project opens, how do you defend your shares?
James Joseph Murren - MGM Resorts International: How do we defend the shares? Well I don't think it's about us defending shares, it's about our – that others wanting to retain share against us, right. Because obviously, as I said earlier to Harry, we're putting in play, what we know needs to be a very long and extended acquisition strategy. So, building up to the opening, we want to consolidate our position in the Peninsula here, looking very strongly to how we can build first-time visit. And – but then put a marketing program in that really starts pushing out into the six months to eight months after opening, recognizing that the capacity – that the properties coming to the market now that the ramp-up is just longer. And so we need to plan to make sure that we drive business not just for the first 60 days, we need to be in the black to drive business for at least the first six months to eight months putting in, building up our direct marketing teams, building up those channels that I was talking about. Does that help? Is that what you...?
Kenneth Fong - Credit Suisse (Hong Kong) Ltd.: Yeah. This is very helpful. Yeah. Thank you very much, guys.
James Joseph Murren - MGM Resorts International: Okay. Thank you.
Operator: Our next question comes from Carlo Santarelli from Deutsche Bank. Please go ahead with your question.
Carlo Santarelli - Deutsche Bank Securities, Inc.: Hey guys, thanks. Jim, you talked about quite a bit kind of the margin impact in some of the delta relative to consensus in the period, and obviously, flow through and margins, but one of the things that I don't think we've touched on that, that could be somewhat responsible for the performance relative to consensus is the PGP. Could you guys maybe take a second and outline 2017 in terms of incremental year-over-year EBITDA coming from the PGP, and maybe talk a little bit to the extent you can about what you expect from the program year-over-year in the first half of the year, as I assume that's kind of when we'll get the bulk of the incremental PGP benefits?
James Joseph Murren - MGM Resorts International: Sure. I'll turn over to Chris Nordling, who knows this one inside and out, right Chris?
Christopher W. Nordling - MGM Resorts International: Yes, sir. I think what you're going to see, you have in the deck what the first quarter was last year and the second quarter. We're going to be about – the remaining $55 million is going to be split about 50/50 in each of those two quarters, between the first and second quarter. So by the end of the first half of the year, we'll be ramped up at the $400 million level. So I think for your modeling, you'd put it in 50/50 give or take between the two quarters.
Carlo Santarelli - Deutsche Bank Securities, Inc.: Okay. And, just so I'm clear on that, you're saying, the incremental year-over-year will be about $27 million or so per quarter?
Christopher W. Nordling - MGM Resorts International: Yeah, in that ballpark. Yes.
Carlo Santarelli - Deutsche Bank Securities, Inc.: Okay, great. And then, Grant, if you said it I apologize, if I missed it. When you factor in obviously the lower mass hold which is what I think that you alluded to and obviously the higher VIP hold, do you kind of have a normalized EBITDA number for the 4Q?
Christopher W. Nordling - MGM Resorts International: We made a lot.
James Joseph Murren - MGM Resorts International: Grant ?
Christopher W. Nordling - MGM Resorts International: So do you want to answer that one...?
James Joseph Murren - MGM Resorts International: Yeah, fine.
Christopher W. Nordling - MGM Resorts International: Oh, there you go.
James Joseph Murren - MGM Resorts International: Did you hear the question, Grant?
Grant R. Bowie - MGM China Holdings Limited: No, I missed it, sorry.
Carlo Santarelli - Deutsche Bank Securities, Inc.: Sorry, Grant. I can repeat the question. I was just asking around the normalized EBITDA for the property for the 4Q given the mass hold and higher VIP hold?
Grant R. Bowie - MGM China Holdings Limited: So, how much was the overall effect?
Carlo Santarelli - Deutsche Bank Securities, Inc.: Yes.
Grant R. Bowie - MGM China Holdings Limited: It's about the same as the third quarter, so it's in that $15 million to $17 million range.
Carlo Santarelli - Deutsche Bank Securities, Inc.: $15 million to $17 million favorable and is that just on the VIP side or is that including the low mass hold netted against it?
Grant R. Bowie - MGM China Holdings Limited: That's netted out.
Carlo Santarelli - Deutsche Bank Securities, Inc.: That's netted out? Okay. Thank you.
Operator: Our next question comes from Felicia Hendrix from Barclays. Please go ahead with your question.
Felicia Hendrix - Barclays Capital, Inc.: Hi. Thank you. Jim or Corey, or Dan, can we just return to something that we were talking about a while ago, and that's on RevPAR. And, I just want to make sure that we understand there is a tough comp in the third quarter. And, Dan, you laid out earlier kind of how we should think about the cadence, but can you grow RevPAR in the third quarter?
Daniel J. D'Arrigo - MGM Resorts International: Yes.
James Joseph Murren - MGM Resorts International: Yes.
Felicia Hendrix - Barclays Capital, Inc.: Okay. So, it will be positive?
Daniel J. D'Arrigo - MGM Resorts International: Yes. To be clear, yes. Every quarter will be up.
Felicia Hendrix - Barclays Capital, Inc.: Okay. That's great. And then, can we just talk about National Harbor in the context of Borgata. And, have you already been integrating your Northeast marketing strategy? I know it's probably early, but Borgata has been doing very well, you called that out earlier. And I'm just trying to kind of figure out what the potential of that property could be now that it's under your ownership.
Daniel J. D'Arrigo - MGM Resorts International: Sure. So, we actually prior to our National Harbor opening, Anton Nikodemus, who is in-charge of our regional offices has been coordinating and working with Tom Ballance quite a bit. Actually Tom is going to be in National Harbor in the next few days. They do some really good things at Borgata that we think not only can help us at National Harbor but also all of our regional operations. It's a little early to get the benefit, mainly because they're not quite on M life yet. But, once they're on that, then they'll be able to cross market pretty significantly we think. And so, we do think there is opportunities there.
Felicia Hendrix - Barclays Capital, Inc.: What's the timing of that?
Daniel J. D'Arrigo - MGM Resorts International: We're hoping sometime in the second quarter, M life gets introduced to Borgata.
Felicia Hendrix - Barclays Capital, Inc.: Okay. Thanks. And, okay, that's helpful. And then, just, Grant a quick one on, I know you all reiterated that, there is no opening date officially announced yet, but when do you expect to have more clarity on the timing of the opening?
Grant R. Bowie - MGM China Holdings Limited: I think as Jim said in his opening address, we have a board meeting coming up in March, that's obviously one of the big topics for us to go through at that time and we'll certainly have more clarity around that time.
Felicia Hendrix - Barclays Capital, Inc.: And is there anything since your last update in terms of what's kind of been holding that back, anything new or just kind of same?
Grant R. Bowie - MGM China Holdings Limited: It's all those challenges that you have in any complex property is, we are creating some very unique first-time installations here and we are going to get them right, we need to get them right, we're just going to put the time and effort into get it. We're pretty comfortable that the market conditions are suiting us at the back half of the year, and we just think this is the right thing to do.
Felicia Hendrix - Barclays Capital, Inc.: Okay. Great, thanks.
James Joseph Murren - MGM Resorts International: Thanks, Felicia.
Operator: Our next question comes from Robin Farley from UBS. Please go ahead with your question.
Robin M. Farley - UBS Securities LLC: Great, thanks. First on Cotai, it looks like since last quarter the budget may have gone up by $250 million, so I wonder if you could give some color around that? And then, are you doing anything on just a preliminary basis, because right now your land concession requires you to be open by January, are you doing anything to sort of maybe just get a little bit of room there, if there were to be a delay of a few more weeks or months of that, that there wouldn't be any risk from that?
James Joseph Murren - MGM Resorts International: Corey, you want to take that first?
Corey I. Sanders - MGM Resorts International: Yeah, absolutely. Hi .
James Joseph Murren - MGM Resorts International: Robin.
Corey I. Sanders - MGM Resorts International: Robin, excuse me, jump in. The budget increases, we're going to keep guidance from 3.1% to 3.3% how we have been looking at it. But there is some cushion in that, it's the way we have to trend up on the $100 million increments. And so that is new guidance. Obviously, the complexity time does cost some funding. We still think we'll be better off in the long run. We have every assurance, so we're not going to give a specific date yet because we do ultimately want to get into more detail with our contractor, we'd like to meet with the government around the process of licensing and approvals before we can peg a date specific. That being said, we will definitely be open, in our mind, in the fourth quarter. And so, the idea of contingency into 2018, while always something we'll consider, it's something we're not contemplating right now.
James Joseph Murren - MGM Resorts International: Yeah. Just to help on that too, there is no chance we're going to need to have any kind of discussion with the government about the land concession, because we are opening it this year, in sometime in the middle of the second half. And secondly, the delta of increase is far less than Robin what you had mentioned. So, like $130 million in total. And if you recall, that's about 11% total cost increase over the last what, Dan?
Daniel J. D'Arrigo - MGM Resorts International: Three years.
James Joseph Murren - MGM Resorts International: Three years. I mean, the cost has only gone up about 11% in the three-year period, which most of the guys over there would have loved to have had. So, yeah, we're comfortable with this budget, there is a little bit of increase because of the time of when we're opening this, but we're willing to take that increase because of the time, because we want to make sure it's a good product when it does open this year.
Robin M. Farley - UBS Securities LLC: Okay. That's very helpful. Thank you. And then just two quick questions on Vegas. One is just, I don't know if you can sort to quantify, how much of the 7% RevPAR growth in Q1 is the benefit from the holiday shifts from Easter moving into Q2, that's kind of helping Q1. Is there a way to help us think about that?
James Joseph Murren - MGM Resorts International: Do you guys know?
Daniel J. D'Arrigo - MGM Resorts International: No. We'll follow up with you Rob.
James Joseph Murren - MGM Resorts International: Yeah. We'll have to follow up.
Daniel J. D'Arrigo - MGM Resorts International: There is a little bit of a benefit obviously with the shift. But let us get you the right number there.
Robin M. Farley - UBS Securities LLC: Okay. And then...
James Joseph Murren - MGM Resorts International: I mean, the big driver obviously is CON/AGG in March. The RevPAR number in March is going to be enormous.
Daniel J. D'Arrigo - MGM Resorts International: There's also a shift in some of our in-house conventions, one or two that move from February to March this year from a scheduling standpoint. So, not only CON/AGG, but a couple of our own internal shifts and timing is making March look exceptionally strong and a little bit weaker in February, because of that one or two convention move from February to March this year versus last year.
Robin M. Farley - UBS Securities LLC: Okay, great. Thanks. And then the last thing is in the slides you talked about one of the issues in terms of year-over-year in Vegas was, it looks like – you talked about $30 million, some of that was home related, but that $10 million and it sort of talked about G&A and media spend and I don't know if you gave color on that in your introductory remarks, I don't think I heard you mention what that $10 million shift was or...?
James Joseph Murren - MGM Resorts International: Yeah. We didn't, we should have. You want to hit it, Corey or Dan, or you want me to do it?
Daniel J. D'Arrigo - MGM Resorts International: Yeah, happy to. It's really a timing issue Robin, in terms of what we did was we took a step back as we initiated some of our marketing efforts from a consolidation standpoint. In late 2015, early 2016, we took a step back, we wanted to play out and look at where we're spending our advertising and marketing dollars. We also had a new campaign rolling out that we're working on from a branding standpoint at not only corporate but the property level. And really wanted to make sure, we're spending the right amount of money in the right channels. And so from a year-over-year standpoint, we're pretty consistent in terms of our spend. It's really a timing issue that hits the fourth quarter as we start to look at our branding and marketing campaigns heading into 2017.
James Joseph Murren - MGM Resorts International: And what I would add also Robin is, there were a few projects that were capital in nature, but expense-type projects clean up like the Marina at that had to get done in the fourth quarter. Even with those increases I mentioned, our total expense per occupied room is only up 0.004%.
Robin M. Farley - UBS Securities LLC: Okay. Great. Thank you. Thanks very much.
Cathy Santoro - MGM Resorts International: Maybe one last very quick question.
Operator: And we do have a final question from Thomas Allen from Morgan Stanley. Please go ahead with your question.
Thomas G. Allen - Morgan Stanley & Co. LLC: I have one last really quick question. So on a same-store basis, your U.S. casino revenues were up 3%, your RevPAR in Vegas was up 3%, but your EBITDA was only up 1% and you have PGP in there? So can you just kind of give us the delta there? Did you just lose some very high margin business?
Daniel J. D'Arrigo - MGM Resorts International: Yeah, we did. I mean, that convention business obviously is very high margin business. We were able to actually replace a lot of those rooms by leveraging our database and with the goal of driving profitability and less worried about margin. I think from that exercise what we've learned is, that database is golden. We've learned a lot of things that were positive, then we learned some things that we could do better in future quarters. What we replaced those rooms with were definitely a lower margin profitable business.
Thomas G. Allen - Morgan Stanley & Co. LLC: Okay. Thank you.
James Joseph Murren - MGM Resorts International: And just a couple of things as we add, just to clean up some things that were asked. Easter will be less than 1%, the calendar shift, so the 7% RevPAR guidance, Easter shift will be less than 1% of that. Flow through was asked a couple of times and it's clear we are comfortable with the concept, we do believe margin is going to grow, including in the current quarter, we expect flow through to be up. I think it was Joe asked about 50%, we feel comfortable about that. In terms of PGP, Shaun talked about that. I don't want to leave anyone with the impression that once we are done with that $4 million program, we're done, because we haven't implemented all of the plans that we had identified even in the initial program. And as I said earlier, we've laid down the architecture for further initiatives, further ideas, and that's why we're confident for margins to continue to grow even when we cycle through that program. And the cadence of RevPAR, we're going to up, we look like we're going to be up all year; even with the tough comp in the third quarter we'll be up and certainly up nicely here in the first quarter, up nicely in the second quarter and the fourth quarter will be the strongest of the four quarters. And first quarter being the strongest probably of all, and third quarter being the toughest but still up. Cathy, you want to add anything to this?
Cathy Santoro - MGM Resorts International: No.
James Joseph Murren - MGM Resorts International: Okay. Well, I know you have some other questions. Thank you all for joining us today. We've taken more than your allotted time and look forward to chatting with you soon. Take care.
Operator: Ladies and gentlemen that does conclude today's conference. We do thank you for attending. You may now disconnect your telephone lines.